Operator: Good morning. My name is Victoria, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lexicon Pharmaceutical Fourth Quarter Financial Call. [Operator Instructions]. Thank you. I would now like to turn the call over to Chas Schultz, Senior Director of Finance and Communications.
Chas Schultz: Thank you, Victoria. Good morning and welcome to the Lexicon Pharmaceuticals' fourth quarter and year end 2015 conference call. I'm Chas Schultz and with me today are Lonnel Coats, Lexicon's President and Chief Executive Officer; Dr. Pablo Lapuerta, Lexicon's Executive Vice President and Chief Medical Officer; and Jeff Wade, Lexicon's Executive Vice President of Corporate and Administrative Affairs and Chief Financial Officer. We expect that you have seen a copy of our earnings press releases that was distributed this morning. During this call we will review the information provided in the release, provide an update on our clinical programs and then use the remainder of our call to answer your questions. If you would like to view the slides for today's call, please access the Lexicon's web site at www.lexpharma.com. You will see a link on the homepage for today's web cast. Before we begin, I would like to state that we will be making forward-looking statements, including statements relating to Lexicon's clinical development of telotristat etiprate and sotagliflozin. These statements may include characterizations of the results of and projected timing of clinical trials of such compounds and the potential therapeutic and commercial potentials of such compounds. This call may also contain forward-looking statements relating to Lexicon's growth and future operating results, discovery and development of products, strategic alliances and intellectual property, as well as other matters that are not historical facts or information. Various risks may cause Lexicon's actual results to differ materially from those expressed or implied in such forward-looking statements. These risks include uncertainties related to the timing and results of clinical trials and preclinical studies of our drug candidates, our dependence upon strategic alliances and ability to enter into additional collaboration and license agreements, our ability to attain patent protections for our discoveries, limitations imposed by patents owned or controlled by third parties, and the requirements of substantial funding to conduct our drug development and commercialization activities. For a list and a description of the risk and uncertainties that we face, please see the reports we have filed with the Securities and Exchange Commission. I will now turn the call over to Mr. Coats.
Lonnel Coats: Good morning. This is Lonnel Coats, CEO of Lexicon. I want to thank everyone for joining us this morning, and as always, I make this presentation on behalf of the extraordinary men and women who are working very hard every day, to unlock the value of Lexicon's assets, to ensure patients have the benefit of our science. As you all know, we have had a very focused strategy here at Lexicon to create value for our stakeholders. My job and the job of this team is to translate Lexicon's precision science into stakeholder value, by focusing on our two late stage assets, our orphan drug, telotristat etiprate for carcinoid syndrome, and our diabetes drug, sotagliflozin. As we’ve said many times we believe each of these assets, by themselves, upon clinical regulatory success has the potential to drive significant corporate value. Our strategic goal has been to maintain U.S. rights for each of these assets, while adding value to worldwide strategic partnerships. I am very pleased to say, as you all may know, in 2014 we successfully executed upon this strategy, by signing on Ipsen SA as our worldwide partner outside the U.S. and Japan, for telotristat etiprate. This was Lexicon's first commercial collaboration. In 2015, we entered into our second commercial collaboration; we signed a worldwide sotagliflozin collaboration with Sanofi, which will unlock the full potential of sotagliflozin for both Type-I and Type-II diabetes. At Lexicon, we are quickly building a culture of execution excellence. In 2015, it was a truly a remarkable and transformative year for our company and our stakeholders. We announced the execution of two successful Phase-III trials in telotristat etiprate for carcinoid syndrome. We announced the execution of the worldwide collaboration with Sanofi that unlocked the full value of sotagliflozin in both Type-I and Type-II diabetes. We executed the full Phase-III program for Type-I diabetes, that will allow us to announce top line results by the end of this year. And last but not least, we practice good financial discipline and executed well on our business development strategy, which allows us to end the year with over $500 million in cash and investments. I am pleased to say I fully expect that 2016 will be another year full of value creation potential. We intend to file, by the end of this quarter, end of this month, our first NDA for telotristat etiprate, for carcinoid syndrome, with the potential of Lexicon receiving its first FDA approval, and our first commercial launch, by the end of this year in 2016. We will execute the worldwide collaboration with Sanofi for sotagliflozin, to expand the clinical trials to include Type-II diabetes in 2016, and we will execute our Phase-III Type-I trials to be in a position to announce top line data for sotagliflozin in Type-I in the second half of this year; and our goal is to remain well capitalized to fund all of our clinical trials, and potentially expand telotristat etiprate to other indications. So let me take a moment and remind everybody of the Sanofi collaboration. This collaboration truly unlocked the potential of sotagliflozin, but equally important, it adds significant value for our stakeholders. It's $1.7 billion in aggregate upfront and potential milestone payments. Lexicon will retain the development responsibility for Type-I diabetes, with the option to co-promote and lead the role in the U.S. for Type-I diabetes commercialization. Sanofi has the responsibility for the development of Type-II diabetes and the worldwide commercialization of the asset. If we break out the $1.7 billion in upfront milestone payments to Lexicon, we have already received the first upfront payment of $300 million. We have development and regulatory milestones up to $430 million, and we have sales milestones payments up to $990 million. As I stated before, Lexicon will have the responsibility for Type-I diabetes costs. Sanofi will have the responsibility for Type-II diabetes costs, with Lexicon sharing up to $100 million in costs for the Type-II program. Royalties on net sales of sotagliflozin is tiered in escalated royalties based on territory and indication, it ranged from low double digit percentages to 40% of net sales, specifically in the U.S., and for Type-I diabetes. Now for us, we are very proud of this partnership, because we truly believe it unlocks the full potential for patients living with diabetes. We will be in a position at the lead for Type-I diabetes to be able to announce results on that program in the second half, as I said already. I will also tell you that enrolment in the first pivotal Phase-III clinical trial has completed. We are continuing to execute on that program, and as I stated before, fully expect to announce results in the second half of this year. We also believe, in the collaboration with Sanofi, going into Type-II diabetes would be the opportunity that we all have looked forward to, and that opportunity should take place in the second half of 2016. We truly believe in Sanofi's rich history of innovation in diabetes and strong worldwide reach, will make for a strong collaboration that will indeed unlock the full potential of sotagliflozin for patients who live with diabetes, and also extend the opportunity for us to bring forth shareholder value through this collaboration. With that being stated, I am going to turn it over to Jeff, to go over the financial results. Jeff?
Jeff Wade: Thank you, Lionel. I will provide a brief financial update. As indicated in our press release today, we had revenues for the 2015 fourth quarter of $127.3 million, an increase from $21.5 million in the prior year period. The increase was primarily due to revenues recognized from our collaboration and license agreement with Sanofi. For the year, revenues increased to $130 million from $22.9 million in 2014. Our research and development expenses for the 2015 fourth quarter, increased 52% to $30.4 million from $20 million in the prior year period, primarily due to increases in external clinical and non-clinical research and development costs. For the year, our R&D expenses increased 7% to $95.2 million from $89.3 million in 2014. In connection with our acquisition of Symphony Icon, we made an initial estimate of the fair value of our liability for the base and contingent payments. Changes in this liability, based on the development of the programs and the time until such payments are expected to be made, are recorded in our consolidated statements of operations. The associated increase in fair value of Symphony Icon purchase liability was $0.8 million in the fourth quarter and the liability increased by $5.9 million for the year. Our general and administrative expenses for the 2015 fourth quarter were $6.4 million, an increase of 62% from $4 million in the prior year period. The increase was primarily due to increased costs in preparation for the commercialization of telotristat etiprate. For the year, our G&A expenses increased 23% to $23.8 million from $19.4 million in 2014. In 2014, we began to market our buildings and land in the Woodlands, Texas for sale. We recognized non-cash impairment losses on our buildings of $3.6 million in 2015 and $13.1 million in 2014, as a result of writing down buildings to the estimated net selling price. In January of 2016, we entered into a purchase and sale agreement, under which we have agreed to sell these buildings and lands, subject to negotiation and execution of the leaseback agreement, with respect to a portion of the buildings. Our net income from 2015 fourth quarter was $86.8 million or $0.76 per diluted share compared to a net loss of $2.9 million or $0.03 per share in the prior year period. Our net loss for the year was $4.7 million or $0.05 per share, compared to a net loss of $100.3 million or $1.31 per share in 2014. For the three months in the year ended December 31, 2015, our net income and loss included non-cash stock-based compensation expense of $1.4 million and $6.8 million respectively. For the three months and year ended December 31, 2014, net loss included non-cash stock based compensation expense of $1.5 million and $7.1 million respectively. In May 2015, we completed a one-for-seven reverse stock split, all references to common shares and per share data for all periods presented in this earnings call, have been adjusted to give effect to this reverse stock split. Finally, as of December 31, 2015, we had $521.4 million in cash and investments, as compared to $256.4 million as of September 30, 2015, and $339.3 million as of December 31, 2014. Now let's turn to our forward-looking guidance for 2016, we expect contractual revenues from existing agreements in 2016 to be in the range of $65 million to $80 million. Our revenue expectations incorporate milestone achievements for telotristat etiprate in carcinoid syndrome; progress in the Type-I diabetes development program for sotagliflozin that we are leading under the Sanofi alliance, and progress in the Type-II diabetes program with Sanofi that's leading under the alliance and our associate and funding participation in those efforts. We expect that our operating expenses in 2016 will be in the range of $225 million to $250 million. Non-cash expenses are expected to be approximately $11 million of this total, including $6 million in stock based compensation, $4 million in increase and fair value of Symphony Icon purchase liability and $1 million in depreciation and amortization. We expect our 2016 net cash used in operations to be in the range of $205 million to $230 million. I will now turn the call back to Lonnel.
Lonnel Coats: Thank you, Jeff. We have had a remarkable 2015, but I will assure you that we are not resting on our laurels. We have a tremendous opportunity to execute well, get our NDA in at the end of this month. Get ourselves prepared to launch this product, throughout the course of the year. So in the second half, we will start layering in new organization and get ready for commercialization. We have our leadership team in place to commercialize this asset. We are working very diligently with our partner, Sanofi, and we are very proud of their eagerness and their excitement about our asset, sotagliflozin, and so we fully expect it will be in clinic for Type-II diabetes by the end of the year. So, we think we have many opportunities to create value this year, and we will focus on execution, to ensure that happens. With that being said, I will end the call there and open the floor for questions.
Operator: [Operator Instructions]. You do have a question from the line of Alan Carr.
Esther Pang: Hi guys. This is Ester for Alan. Thanks for taking my question. First on telotristat, could you tell us what your commercial strategy is, and where you are in preparations, and what other indications are you thinking about for telotristat? And then, for sotagliflozin in Type-I, could you tell us what your expectations are for the outcomes of this Phase-III trial, like what you would expect for reductions in A1C and differences in quality of life, etcetera. Thank you.
Jeff Wade: Okay. So our plan for -- so there are a lot of questions there, so I am going to break them into pieces. So first of all, telotristat and pre-commercialization; so our plan is to commercialize that drug in the U.S. on our own. We are preparing for the filing right now, towards the end of the year, as Lonnel mentioned, we will start building out the field force associated with that. We have an advantage there in that, the audience that we are proscribing for is our patients who are being treated with somatostatin analogs, and that's something that allows us to identify the patients and physicians who are using somatostatin analogs to treat the underlying disease, carcinoid syndrome, and then we are -- the drug that we are developing, is being developed in combination with somatostatin analog therapy. So we feel that we can be very efficient in the ability to reach those physicians and to provide the drug to those patients. With respect to other indications, that's something -- right now, we are really focused on getting the NDA filed. We will get into other indications, as we get past that point. But we do think that reducing serotonin synthesis in the periphery, serotonin being an important molecule, does offer the opportunity for other potential indications. And what we will be very focused on in considering these other indications are, indications that provide the same level of values we will be providing in this orphan space for carcinoid syndrome. In terms of the diabetes programs, we haven't really disclosed what our expectations are exactly, in terms of results with respect to A1C. A1C is the key endpoint here though. We are looking for clinically meaningful reduction in A1C and a good safety profile in Type-I diabetes setting. And our expectation is based on -- in Phase-II we saw -- in just a four week period, we saw 0.55% reduction in A1C. We would generally expect to see greater effect in longer duration studies, and so, our expectation is based on those results in the past history that we have had with the compound and Type-II diabetes. So hopefully that will answer your questions, and I didn't forget any of them.
Lonnel Coats: I will just add to Jeff's commentary; as you go into the orphan drug space and start looking at how we want to compete there, particularly around -- ensure market access, we have a remarkable team that's assembled to assure that we have market access for the drug at start. We believe that we will have the ability to have a good price on this product, because you are coming into a very stable market, relative to pricing. You have a market that has a CAGR over the last three or four quarters, of about 8%, 9%. So we think we are coming in at a very healthy time, where we can get a good value. The good news here, this drug, telotristat etiprate was discovered by Lexicon, developed by Lexicon, and so our commercializing this asset really would be a big hallmark for us because very few companies get the opportunity to go from discovery all the way to market with their own asset. And so this will be very meaningful to Lexicon, and we expect the margins to be very strong on this product that will allow us to commercialize at a modest and reasonable level.
Esther Pang: Thank you.
Operator: Your next question comes from the line of Jessica Fye with JP Morgan.
Ryan Tochihara: Hey guys, this is Ryan on for Jess. Appreciate you taking our questions. I guess as a follow-up to the comment, your answer to the previous question, you are saying that the physicians and patients are relatively well identified, and you can have a very focused and sort of approach towards commercializing to those physicians. But maybe you could comment a little bit on what that means for sort of the launch curve, and your expectation there?
Jeff Wade: Well, we do think there are -- there is definitely a need for this drug, and there are patients right now, that are in need for this, because of the fact that this is going to be the first new therapy that's introduced -- new class of therapy that's introduced into this patient population like the last 18 years. So we do think that there is an unmet need there, and so we think that there is going to be robust uptake, and in terms of that that's what we are planning for. Beyond that, I wouldn't really say very much, but when we have looked at the overall patient population, physicians generally tell us that 40% to 45% of patients who have carcinoid syndrome, are not being adequately controlled with the existing standard of care, somatostatin analogs alone. And so that's really where the opportunity lies.
Ryan Tochihara: Great. And I guess as a follow-up, have you started engaging in payor discussions yet?
Lonnel Coats: Yes.
Ryan Tochihara: And are they -- I guess you said that, you would price at a modest and reasonable level. So could you kind of give us a little bit more color, as to sort of how receptive payors have been to those -- in these discussions?
Lonnel Coats: Let me first put my modest and reasonable commentary back into perspective. Modest and reasonable, meaning the cost of us going into commercializing on our own, would be modest and reasonable. Although, I would say the price is also reasonable. We will price the product at parity, if not a premium; because we believe, based on the results that we will have and what the agency ultimately, we hope will give us, we would then set price at that time. But we would expect price to be at market parity or a slight premium.
Ryan Tochihara: Great. Thanks for taking my questions.
Lonnel Coats: You bet.
Operator: Your next question comes from the line of Colin Bristow with Bank of America Merrill Lynch.
Colin Bristow: Hey, thanks for taking the questions, and congrats on the progress. So just a follow-on from the last question, could you remind us how you see the size of the opportunity for telotristat? And back to the launch curve question, is there any analogous launch curves that should point us towards to help us think about modeling this, and how should we think about the differences between launch in the U.S. and EU? And then, a couple on sotagliflozin, the SGLT2s. The SGLT2 markets, since the Jardiance data we have seen impressive share gains within the class, but a less profound effect on class growth. Could you talk about how this lines up with your expectations, and how you see trends moving forward, given in the second half, we will see the data get on the label and potential guideline update? And just on the CV benefit itself, what are your hypothesis on what's driving this CV risk reduction, because it seems that blood pressure was not the sole driver of the benefit? Thanks.
Jeff Wade: Okay. That's a lot of questions, I will try to remember them all. So I am going to start towards the end and then move back. So we think that the SGLT2 -- the class of selling with the transporter drugs, has an opportunity for significant growth. And I think, that there is definitely going to be some payor resistance, as we - they are going to want to see more data. But we think that that class will end up growing, the class of SGLT2 inhibitors. We think we are differentiated from that, by the SGLT1 mechanism and that provides significant additional benefits, and it's based on both our thoughts about the potential efficacy of sotagliflozin, what we have seen in Phase-II and also safety. We think that we may have advantages in both of those areas, because of that SGLT1 mechanism. We definitely think that, to our view in general is that, most of the benefit of the EMPA-REG trial in empagliflozin is based on blood pressure. And we think that all of the evidence weights towards that, and if you want to call it a diuretic effect, that there is a diuretic effect that contributes to that, SGLT2 inhibitors cause diuresis. So we don't think that there is anything sort of unique to empagliflozin. We do think that there is some data that we have, that suggests that there might have some potential -- we might have some potential to differentiate in terms of blood pressure. And we have seen this across a variety of different studies, and obviously, we got to prove that out; but we do think that there may be an opportunity for us there. And then lastly, I think, one of the key areas of differentiation that we are going to be looking at is in patients with renal impairment, because as renal function declines, the benefits of inhibiting SGLT2 reduces. I mean, that has been shown on a number of different studies, and as -- what we have seen is because of the GI range of the SGLT mechanism, that there is an opportunity to maintain benefit in patients of lower renal function, and that's going to be something that's going to be a key element of what we are looking at in Type-II diabetes. I am going to try to remember what your questions were to telotristat etiprate --
Lonnel Coats: Launch period and analogs.
Jeff Wade: Oh yes. So I am not sure that I have any good analogs from a launch curve perspective. I would say -- I am going to go back to a couple of your questions; so in the U.S. and Europe. There will be differences in terms of what the uptake is, probably in between the U.S. and Europe. Among other things, the process for getting approvals in Europe is different, and that you got to get pricing approvals, and that's going to take some time to sort of work through the system. And so, it will be a little bit different, both in terms of timing, and in terms of sort of sequencing of countries in Europe, as opposed to being able to launch immediately in the U.S. So that's -- I guess that would be the thing that I would say. But there are sort of differences between the two. We do think that this is going to be an area, where we have the opportunity to really provide value to patients, who need a new therapy. And so, as I mentioned previously, we think that opportunity is there for a pretty robust uptake, in terms of the launch of this product. And we are working hard to eliminate barriers, to make sure that patients can actually get the drug, so that we -- when we make it available, that we are able to get it in the hands of patients.
Lonnel Coats: Colin, I will add a couple of things to what Jeff has said, in the work that we are doing right now, because the question was asked earlier about working with payors, we are doing work with payors. Relative to us achieving value proposition of our submission. Should we achieve that, then we think we have a way forward, where you have very few barriers by payors put in place to allow this drug to flow through. So therefore, we should see a pretty nice uptake early. The second reason you should see the uptake early, is to the point Jeff made for; when you start to look at the numbers in terms of -- let me first state, the SSAs work. I want to be very clear about that. Let me first state, that SSAs work, I want to be very clear about that, they do work. But over time, and for some patients, in the very early pay upon in time, maybe 5% to 7% of patients, they don't maintain the benefit. But over time, the vast majority of that maintain a benefit. And so therefore, if they came off SSA therapy, they will be worse. So they have to remain on SSA therapy. However, how do they get better, which is the question? The way to get better, if you add telotristat etiprate on, is what we are showing, is the opportunity for them to improve and get back to where they may have lost ground; because of that, you will see that the vast majority of patients will be in a situation where they are already up titrated to try to control their disease. You are seeing tremendous amount of intervention with other things, that are not approved to try to control patients getting back within reasonable range, that simply does not have good evidence behind it, or good -- no drugs that are proved beyond SSAs. And so the opportunity to bring telotristat etiprate to improve the circumstance, will be quite significant, and there will be quite a number of patients I believe, that will be available to use the drug upfront. And with the payors again, as long as we are able to achieve what we think we are going to achieve and are labeling, I think we should have a pretty good opportunity to get off to a pretty good start, relative to how we price the product, and be able to penetrate the market. Let me also speak to the market, the SGLT market that you talked about; it's not unusual when something like this happens, you have a single drug in a category, it starts to take share in the category. However, I believe, and I am -- this is my own [ph] belief, as the other SGLT2 starts to call out with their data, I think, we will start to see, what I believe will be a very strong class effect relative to cardiovascular improvement. So when that happens, I think that is the opportunity where you will see the class grow. We are in fact, I believe very strongly, that's going to be the case. For us in development, we have every opportunity to look at these factors and build our studies, any way in which we play to win. And what I love about the collaboration with Sanofi, in our engagement, I simply will tell you, they are coming in to win. How we structure our studies, how we put them together, how we approach the marketplace, it all will be relative to what we believe is the strength of this drug and being a dual mechanistic drug, and where we see, there is strengths and opportunities for us to take product market, if not be able to compete in every other marketplace, will be how our phase-III trials will be designed. We are taking the opportunity now to align between the two companies, to do this work, and then we have the opportunity at the end of the year, we will communicate our overall strategy, relative to our Phase-III program for Type-II diabetes. But we feel very strongly we think the market will grow. SGLT2s will grow within -- not just within their class, but within the total marketplace, and we believe that we have every opportunity to be remarkably competitive when we do get to market. Hope that answers all those questions?
Operator: We do have a question from the line of Liana Moussatos with Wedbush Securities.
Liana Moussatos: Congratulations on all your progress. Is there a difference between what's considered clinically meaningful for A1C drug between Type-I and Type-II diabetics?
Lonnel Coats: I will turn this over to Dr. Laprueda.
Dr. Pablo Lapuerta: Well, I think the FDA would -- is looking for a reduction of about 0.3% in A1C, and when they are thinking about approving a drug for reducing A1C. And I don't think the FDA has made much of a distinction between Type-I and Type-II diabetes. But I will say though, is that, with the use of sotagliflozin in Type-I diabetes, there is an opportunity beyond A1C control to reduce the use of insulin. And so, it is possible that the A1C reduction in Type-I diabetes could be a little bit lower, because some patients are responding by reducing their insulin to some extent. That maybe more important to them, in terms of treating their diabetes safely. Whereas, that's going to happen less often in Type-II diabetes, where the majority of patients are not on insulin. What is means is that, you could see clinical trials in Type-II diabetes has filed [ph] a larger A1C reductions. We think that would be fine, and that the clinical meaningfulness of reduction in Type-I would be a combination of looking at A1C reduction, of at least 0.3%; and insulin reduction. In particular, insulin reduction that we believe can improve the safety profile of managing Type-I diabetes.
Liana Moussatos: Are there some parameters -- quantitative parameters on decreasing insulin years that we can go by, when the data comes out?
Dr. Pablo Lapuerta: Well we have seen some reduction in insulin use in the Type-I studies that we have published that pilot study, and so that could give you some indication of the potential. But I think in terms of what's clinically meaningful, patients are very happy to reduce their insulin, they start saying that their glucose profiles are more reliable and better managed, and they are very excited about it. I think that, for a clinically meaningful reductions in insulin, one of the things to look at is, is reductions in hypoglycemia. And we can look at that in two ways, one is spending more time within a new glycemic range, and I think that's going to happen with our program with sotagliflozin, that's very important to patients. But another is that, we do have the potential to reduce severe hypoglycemia. We have a large enough program that, perhaps not in any individual study, but across the program, if you see trends that show a reduction in severe hypoglycemia, I think that would be highly relevant, and really make any reduction in A1C really worthwhile to patients with sotagliflozin in Type-I diabetes.
Jeff Wade: Liana, just adding on to that; the idea of having a patient needing to use less insulin, is not really -- there is no numerical number that really t0 insulin use, that's not really the meaningful element of this. What would be meaningful is, by using less insulin, patients have better glycemic control overall, and that's more safe glycemic control, as Pablo mentioned, by potentially reducing hypoglycemia. Improving glycemic control without increasing or maybe even increasing hypoglycemia is really where that value is for this indication.
Liana Moussatos: Thank you very much. That was a great answer.
Operator: Your next question comes from the line of Phil Nadeau with Cowen and Company.
Phil Nadeau: Good morning. Thanks for taking my questions, and let me add my congratulations on all of your progress. First, I was wondering if we could get an update on the JDRF trial, I think we are expecting that data this quarter. Is that trial still on track, and in what form, will the data be released?
Lonnel Coats: So this is Lonnel; I think one of the things we announced at the trial, we will not call out until the second half. We put a remarkable amount of our -- I will tell you two things, one is that, the scientific rigor that's put into that trial, is certainly causing for a slower enrolment pace than we would have anticipated. However, it’s a phase-II trial. So what we have really done is, put a lot of our time and energy into our pivotal program, which is why we have stated earlier today, is that the first of our Phase-III trials have finished enrolment, and that's ahead of schedule. And we are going to be bringing a second one into fold as well, which has put us in a position to actually be able to announce the pivotal results in the second half. So with that being said, the study tool 4, which is JDRF study, you should expect to hear much on that until the second half of this year.
Phil Nadeau: Got it. Okay, and the JDRF trial, since its Phase-II study, it really doesn't make up anything in your filing package for Type-I diabetes, is that correct?
Lonnel Coats: No, no. Nothing.
Phil Nadeau: Okay, great. And second, on telotristat, is Ipsen still on track to file an MAA in Q2, I believe that was your prior guidance?
Lonnel Coats: Well, we are going to do everything we can to help them with that. But I will let them answer, how much they stay on schedule. But we are working very closely to get our NDA in by the end of the month. If we achieve that, they will have the ability to achieve their target as well.
Phil Nadeau: Great. Okay. And then just one last question on the finances, for the revenue guidance for 2016, could you give us some idea of the proportion that's a milestone versus research funding, versus something like amortizations of the Sanofi upfront?
Jeff Wade: So there is not any research funding that's coming into us, that is -- that falls into that category. The significant majority of it, is basically -- its related to Sanofi, I would say, the vast majority of it is related to Sanofi, and the Sanofi is driven by two different things. So when we recognize revenues, we had to -- because it's this -- license has multiple elements, there the revenue recognition is divided up between three different elements; one is the value of license, one is the value of our continuing obligation to develop in Type-I diabetes, and the other is our contribution -- funding to Type-II diabetes, and so that upfront is allocated among those three elements. We have recognized $126.8 million of that Sanofi upfront, and 2015 is distributable to the license element. The rest is attributed to those other two. Our development in Type-I diabetes, and our funding of the Type-II program. And so, most of the revenues we will be recognizing in 2015 are related to -- basically those two elements, our continued development in Type-I and the beginning of our contribution towards the Type-II program.
Phil Nadeau: Got it. So just as we can go about modeling this, would it be fair to divide the revenue guidance almost equally among the four quarters, maybe a little bit more in Q2 for -- set some sort of a milestone, based on Ipsen's MAA apparently?
Lonnel Coats: Maybe a little bit more in Q2, and a little bit weighted towards the back end of the year. And the reason it would be weighted towards the back end of the year is, because that's when we will start doing work for the Type-II diabetes program.
Phil Nadeau: Got it. Okay, that's very helpful. Thanks for taking my questions.
Operator: Okay. And it looks like your final question comes from the line of Stephen Willey with Stifel.
Stephen Willey: Yeah. Thanks for taking the questions, and congratulations as well. Could you maybe just characterize how enrolments going in the larger safety studies that I know, running concurrently with respect to your FPC [ph] studies in Type-I and also maybe, just what your thought process is here with respect to being able to potentially file a Type-I only, and if that's a regulatory dialog that we should expect to initiate, once data is in hand?
Lonnel Coats: That's a great question Phil. Let me talk to the regulatory dialog, and I will turn it over to Jeff. In terms of, whether we go Type-I alone first and into Type-II or how we sequence this, one, we are getting aligned within our alliance. So I think we all feel very strongly, that we have very good data, when we have the topline results, we all should try to do our very best to have a conversation with the agency, and advance the program for Type-I first. But more importantly, to your point, we have to have a dialog with the agency, and I will see that dialog taking place, after we have our pivotal data in hand, which will give us the opportunity to speak more directly about what we have seen and what we know, and we can determine what order we would go in. But it still our objective to file the Type-I program ahead of Type-II.
Jeff Wade: On your question, Steve, regarding the enrolment, we mentioned enrolment in one of the pivotal studies, the other pivotal study enrolment is going very well. And also, what we didn't mention was, that enrolment in the third study, that is going according to plan, and was really to have all of these -- top line data from two pivotal studies for the end of this year data from the third study and complete reports from the two pivotal studies in 2017 timeframe.
Stephen Willey: Okay. And then I guess, maybe just a quick question -- some of the pipeline development I think has been probably a bit shelved over the past couple of years, just given the resource constraint. And I know I think one of the assets that’s shelved was a locally acting SGLT1 specific inhibitor. So I am just wondering if you guys have any development plans to maybe get that program moving forward in 2016? Thanks.
Jeff Wade: Great question, Stephen. Yes, we do have plans to keep that program moving. We haven't disclosed that publicly at this moment, as we are having conversations. But you can fully expect, it will have something, I assume, and that we see as assets. And we fully expect to put that program into the clinic. When we have clarity around the timing of when we will be able to do that, we will be [indiscernible] it out. But you are right, we do have that asset, and we see it as something that we will develop and need to develop and the timing of when we put it into clinic is really the question at the moment.
Stephen Willey: Just to clarify, that's unencumbered from the currency?
Jeff Wade: There is a framework within the Sanofi deal to [indiscernible]. So there basically is an ability and our expectation frankly is that this would be developed in the alliance. And there is a framework to allow Sanofi to participate in that, and again, that's the expectation. But should we not be able to come to an agreement, there is also a framework under which we can take it forward on our own.
Lonnel Coats: So to Jeff's point, the value here is to try to do it within the alliance on a proper timing, when we could introduce it. I think both sides see it as an asset. It's just how we do the timing around development of the asset. I think it would come down too, and it would be better for it to be done inside the alliance, because that would be the funding mechanism that we can work through. But if we have to go outside the alliance, because it's not an agreement, we still see it as an asset, and that's something we want to develop.
Stephen Willey: Understood. Thanks guys.
Operator: And there are currently no further questions.
Lonnel Coats: Excellent. Well I want to thank everybody who joined us this morning on this call. We have a lot to do. We have every intention of filing our NDA at the end of this month for telotristat etiprate. We are very-very excited to file our first NDA here at Lexicon. A lot of extraordinary men and women are working on this day and night, weekends, but we all recognize that there is a rare opportunity to work on an innovation and file an NDA in this industry, and we are all pleased and privileged to have an opportunity to do so. Also I want to remark that our partners Ipsen are working very closely with us on our NDA, as they get ready for their MAA. So we certainly hope that, as we make great progress on filing the NDA, we should make equally good progress on filing the MAA. So with that being said, we look forward to calling out our progress as the year unfolds and thank you again for attending this meeting.
Operator: Again, thank you for your participation. This concludes today's call. You may now disconnect.